Presentation:
Operator: Good morning, everyone and welcome to Pinnacle Financial Partners' second quarter 2016 earnings conference call. Hosting the call today from Pinnacle Financial Partners is Mr. Terry Turner, Chief Executive Officer and Mr. Harold Carpenter, Chief Financial Officer. Please note, Pinnacle's earnings release and this morning's presentation are available on the Investor Relations page of their website at www.pnfp.com. Today's call is being recorded and will be available for replay on Pinnacle's website for the next 90 days. At this time, all participants have been placed in a listen-only mode. The floor will be open for your questions following the presentation. [Operator Instructions]. Before we begin, Pinnacle does not provide earnings guidance or forecasts. During this presentation, we may make comments which may constitute forward-looking statements. All forward-looking statements are subject to risks, uncertainties and other factors that may cause the actual results, performance, or achievements of Pinnacle Financial to differ materially from any results expressed or implied by such forward-looking statements. Many of such factors are beyond Pinnacle Financial's ability to control or predict and listeners are cautioned to not put undue reliance on such forward-looking statements. A more detailed description of these and other risks is contained in Pinnacle Financial's most recent Annual Report on Form 10-K. Pinnacle Financial disclaims any obligation to update or revise any forward-looking statements contained in this presentation, whether as a result of new information, future events or otherwise. In addition, these remarks may include certain non-GAAP financial measures as defined by SEC Regulation G. A presentation of the most directly comparable GAAP financial measures and a reconciliation of the non-GAAP measures to the comparable GAAP measures will be available on Pinnacle Financial's website at www.pnfp.com. With that, I am now going to turn the presentation over to Mr. Terry Turner, Pinnacle's President and CEO.
Terry Turner: Thank you operator. Good morning. We appreciate you joining us here this morning. For several years now, I have tried to begin every earnings call with a dashboard which is intended be a quick look at earnings growth, revenue growth and asset quality, the three metrics that we believe are the most highly correlated with share price over time. This quarter we are starting with the GAAP results and we will talk about results excluding merger-related charges and other items that we have excluded for the last several quarters here in just a minute. Those of you been following our firm for any length of time know that one of our primary objectives has been to grow the core earnings capacity of the firm and so for that reason to eliminate things like gains and losses on security sales and merger-related expense is really a better way for me to gauge how well we are building that core earnings capacity than just a simplistic review of the GAAP measures. So as you see here, we are blessed again with another great quarter. Topline growth continues to be excellent. In second quarter, revenues excluding securities, gains and losses were up 51.1% year-over-year and up roughly 8% on a linked quarter basis. Bottomline, our fully diluted EPS, net of merger-related charges, was $0.75, up 17.2% year-over-year and excluding merger-related charges, earnings as a function of tangible common equity were 15.64%. That's consistent with last quarter and up from the 15.44% in the same quarter last year. Moving to the second row of charge, generally focusing on balance sheet growth which for companies like ours is the primary basis for our future revenue and earnings growth. Loans were up $263.5 million in the quarter. That's an annualized growth rate of 16.8%. Core deposits were up $158.7 million in the quarter. That's an annualized growth rate of 9.9%. And with a general target near 20% for a dividend payout ratio, we are still growing tangible book value per share 18.2% year-over-year. Switching now to the asset quality on the bottom row of charts. In first quarter, we saw an increase in several of the problem loans and asset quality indicators. But this quarter, in our second quarter 2016, we saw the NPA and classified asset ratios come right back in line and in the case of net charge-offs, we were able to get back inside our targeted range of 20 to 35 basis points, albeit just barely. The charge-offs in the second quarter were, again, dominated by the nonstandard auto loan portfolio. We continue to expect meaningful improvement there in the second half of 2016, since we have the reduced portfolio balances from roughly $57 million last quarter to $43 million during the second quarter and believe we are now in a position to see stabilization in the remaining portfolio. So all-in, 2Q 16 was a fabulous quarter for us with year-over-year core earnings growth of 17%, core revenue growth year-over-year of 51% and key asset quality indicators all back in line. Sticking with this theme of growing the core earnings capacity of the firm. We always have a number of initiatives that are aimed at accelerating our growth. I think over time, the single most impact of the growth strategy we execute is hiring the best bankers and brokers in our market. To borrow a term from Jim Collins, this is our hedgehog strategy. It's our primary core competence. We have established a reputation. It's been a great place to work and we are able to leverage that to source and recruit and hire and onboard and retain the best and most productive revenue producers in our markets. 2015 was a record year for onboarding revenue producers and we are on pace to substantially outperform 2015 in 2016, having already hired a little more than 75% of 2015's number just through June 30. Over the last 18 months or so, we have also been able to effectively leverage our highly valued stock to accelerate growth through acquisitions. We have acquired the most attractive high growth banks in the urban markets of Tennessee in terms of fit with our firm. We have now completed the system integrations for Magna Bank and CapitalMark Bank and are in a position to realize most of the deal synergies by the end of the third quarter. The system integrations have been near flawless and we didn't lose a soul in Chattanooga. In Memphis, I believe, we lost three revenue producers but with virtually no client or revenue impact thus far. So from 30,000 feet, the integrations have gone extremely well. Harold will address this further in just a minute, but I do want to expand my comment regarding effectively leveraging our high valued stock. In conjunction with CapitalMark and Magna transactions, revenue per share is up, earnings per share is up, revenue per associate is up, assets per associate are up and our core efficiency ratio is on the verge of going below 50%. So in my judgment, not only have the acquisitions accelerated growth, but it is really high quality growth. We have completed the Avenue merger July 1, just five months after the announcement. This is now the third transaction announced in the last 15 months that were announced one quarter in a position to close the next. The technology conversion is currently targeted for September 2016 and it appears to me that the cultural integration with Avenue Associates is going extremely well. Now the majority of their associates have already been through our new associate orientation process, which immerses them in the mission and the vision and the values and the culture of Pinnacle over a three day period and their feedback and excitement has been outstanding. Lastly, BHG continues to accelerate our growth. BHG had a fabulous second quarter. You may recall that we increased our ownership from 30% to 49% effective March 1.T They contributed $0.06 in EPS in the first quarter and as a result of their growth and our increased ownership, they nearly doubled that to $0.11 in the second quarter. We continue to believe BHG will have a record year in 2016 and they will earnings on a standalone basis even faster than Pinnacle. And so obviously, we remain very excited about their growth and contribution to our firm. So with that as an overview of the quarter and a progress report on our key growth initiatives, let me turn it over to Harold to review the second quarter in greater detail.
Harold Carpenter: Thanks, Terry. For those of you that have followed us over the years, you know that we pay attention to expenses but we focus on revenues and how to grow our topline as it's our belief that topline revenue growers that can leverage growth with increased earnings will be rewarded with outsized multiples by the markets. This chart gets at that in some detail. Green bars are fees while the blue bars represent spread income. The dark line on the chart is the critical one as it denotes revenue per share. Growing EPS and tangible book value per share is obviously much more difficult if this line will flat or down. Our trailing four quarter revenue per share is around $9.55, which is up 26% from the previous trailing four quarter period. Excluding margin charges, our trailing four quarter fully diluted EPS is approximately $2.81 a share, up almost 22% from the previous trailing four quarters. So we believe our firm has performed admirably and transferred revenue growth to bottomline results. That said, this organization has undergoing a lot of change in the last 12 months and there is more change coming but as it impacts this slide, we believe it's all positive and manageable change. Avenue recorded approximately $9 million in net interest income and $1.1 million in fee revenue in the second quarter. A very simple pro forma analysis would be that Avenue generated $2.70 in revenue per share in the second quarter of 2016, based on the approximately 3.76 million PNFP shares we distributed to their shareholders on July 1. Thus Avenue should be helpful to our revenue per share metric going forward. Concerning loans specifically, as the chart indicates, average loans for the quarter were almost $7 billion. Second quarter ELP June 30 loan balances are higher than average balances and our sales pipelines remain strong going into the third quarter 2016 and at this point we continue to expect double digit loan growth throughout 2016 and 2017. We grew loans approximately 3.8% in the second quarter, which when annualized amounts to approximately 16.8% in organic loan growth. Organic loan growth for us in the second quarter was $263 million compared to $185 million same quarter last year. So we continue to believe we can generate earning assets organically at an outsized rate. Avenue recorded $20.7 million in ELP loan growth in the second quarter, which amounts to 24% in loan growth over this time last year, which of course is accretive to our growth rate. As to loan yields, our loan yields increased to 4.53% this quarter. Impacting our loan yields this quarter was purchase accounting accretion which positively impacted loan yields by about 22 basis points. Avenue's loan yields were approximately 4.09% in the same quarter compared to 4.19% in the first quarter of this year. As to asset sensitivity, we have modified are assumptions around Fed funds rate increases and have delayed any rate increase until the summer of this year and our forecasting and modeling. Our balance sheet, we believe, is in a solid asset sensitive position upon the first tick of a rate increase. Our annualized beta factors remained conservative on deposit increases of around 60% of the rate increase being used in additional interest cost on funding, even though after the December 15 rate increase the realized increase in funding cost was negligible. We have worked our floating rate loans with floors down to approximately $625 million as of June 30, 2016, slightly less than 9% of our loan balances. Additionally, approximately 50% of our loan book will participate in the next rate hike, if and when it occurs. Coincidentally, Avenue's loan book has approximately $155 million of their $983 million with floors and 41% of their loan balances set to participate in the next rate hike. As to deposits, again here in the second quarter, we were able to maintain our low funding cost with only a slight increase in cost. As to deposit balances, we had a good quarter for deposit growth with deposits up $213 million in the second quarter endpoint-to-endpoint. Our average loan to deposit ratio increased to 98.7%. Avenue's average loan to deposit ratio was in the 101% range for the second quarter. Deposit cost approximated 0.29% compared to Avenue's 0.47% for the second quarter. We continue to believe that effective core deposit growth strategies will be ultimately rewarded by investors. We continue to challenge are revenue producers to seek out more deposit for franchises as we intend to keep it front and center as we approach the last six months of the year as our loan pipelines appear to be strong. Switching now to noninterest income. Excluding securities gains, noninterest income for the same quarter increased almost 63% over the same period prior year driven largely by our ownership interest in Bankers Healthcare Group. As you might recall, in the first quarter 2016 we increased our ownership in BHG from 30% to 49%. We continue to believe that EPS accretion as a result of the 19% ownership stake increase for this year should be at least 2% and next year 4% from our preannouncement street expectations. We have got an excellent partnership with BHG. They run a remarkable company and we are obviously excited about not only the additional investment but also continue to explore opportunities to expand the partnership into more diverse revenue channels. The numbers they have posted in the second quarter provides us great confidence about the opportunities our two firms have together. Our residential mortgage group had another outstanding quarter in terms of production with approximately $198 million in loan sales this quarter at a yield spread of 3.84%. Yields also increased as a result of the forward rate lock hedge, as Nashville in particular has a significant amount of residential mortgage activity going on currently. The change in the fair value of the rate lock hedge contributed almost $766,000 to our second quarter results. Items included in other noninterest income tend to be lumpy and include items such as gains on other investments and loan sales as well as interchange fees. We had a big quarter on loan interest rate swap revenues where we had approximately $107 million in loans that were booked as fixed rate and swapped to floating rates generating a gain to us of $1.8 million for the quarter. Other fees are also higher this quarter due to several items impacting our run rates by approximately $1 million. Avenue saw their fee revenue run rate drop from $1.7 million in the first quarter to $1.1 million in the second quarter. This was caused by investment securities gains in the first quarter and a drop in their SBA and other loan sales activities. Now as to operating leverage, our core efficiency ratio was 50.8%, which is one of our better quarters and compares favorably to peer groups. We continue to believe that we will be able to improve upon these levels of efficiency in 2016. Our second quarter increase in compensation expense was basically all caused by an increase in our incentive plan accrual. As many of you know, our incentive systems are primarily tied to corporate results, win together lose together kind of system. In the first quarter, our initial forecast for our annual incentive plan in 2016 was less than our target amount. We are accruing are cash incentive plan reward at the end of the second quarter at a target award. That adjustment was roughly $2 million of additional expense that not only increased the target award percentage, but also to catch-up for the first quarter. Thus far this year, we have got about $8.7 million accrued for the cash plan. Marketing expense is up this quarter, because of various sponsorships that are about to restart here in the latter half of 2016. Other expenses increased in the second quarter due to several expense categories with no one category dominating the net change. Our core expense to asset ratio was 2.37% for the first and second quarters, up slightly from the fourth quarter. So we are obviously are above our operating target again this quarter. The synergy cases for our mergers remain in place which will eventually help us create more operating leverage in future quarters as we fully expect to achieve the targeted EPS accretion targets in 2016 that spoke about on the various merger conference calls. As you may know the technology conversion for CapitalMark was completed in the first quarter and we had approximately 25 positions that rolled off our payrolls at the end of April. Avenue's efficiency ratio was 71.9% in the same quarter excluding merger-related charges of $545,000. That number reduced to 66.7%. As you might expect, in these type transactions, the synergy case was predicated on most of the eliminated jobs rolling off at October 31, but in actuality several individuals have left early and those jobs have not been refilled. We anticipate 57 additional jobs being eliminated by the end of October with approximately 50% to 60% of those jobs being added to the Pinnacle payroll in order to take on the additional volumes. We continue to forecast the penalty for exceeding $10 billion to be around $3.5 million to $4.5 million in 2017, most of which is in the last half of 2017 as a result of reduced interchange fees for the Durbin Amendment and $8 million to $9 million in 2018 once the Durbin Amendment is fully absorbed. We have considered these charges when we announced the Avenue merger and continue to believe that the Avenue merger will remain 2% accretive in 2016 and 4% accretive in 2017, inclusive of the $10 billion threshold charges. With that, I will turn it back over to Terry to wrap up.
Terry Turner: Okay. Thanks Harold. So here it is. We have been attempting to build a $15 billion bank in Tennessee's four urban markets. To do that in each market, we will most likely be one of the top three banks in terms of FDIC deposits and we continue to believe that we can do that. But I just want to say that we have now, with Avenue, crossed the $10 billion threshold and we are the midst of our annual strategic planning effort which we hope to conclude before our next earnings call. During this process, I think you should expect our Board and management to review all our accomplishments, explore our opportunities, particularly areas where we believe we have got an advantage. We will be looking at our tactics for continued long-term organic growth, our long-term operating metrics which we established several years ago, our expansion plans in Tennessee and evaluate expansion into other high-growth markets in the Southeast. So again we will look forward to concluding that planning process between now and next quarter-end. I just want to focus for a second strategically on our sustainable business model. We, I guess, published that more than three years ago in addition to express an ROA target, we have broke down targets for the full critical components that are required to produce a satisfactory ROA. In other words, the margin, the noninterest income to assets, noninterest expense to asset and net charge-offs. We have adjusted target ranges for several of the components a couple of times, generally to maintain or increase ROA objective. As you can see, we are currently operating in the high-end of the ROA target range of 1.36% and as Harold hit at earlier, I do think it's an important distinction for our company that what's driving that outperformance is really our ability to grow revenue. I personally expect, in the case noninterest expense, looking at that noninterest expense to asset ratio, that it will come inside the target range next quarter. And so I expect us to continue to operate in the high end of the profitability range for the foreseeable future. Thinking about the growth factors, we have been over this a little bit here at introduction. I want to again just put it in context as we think about the future of the company. We mentioned our hedgehog strategy is really hiring revenue producers, the best bankers in the market. We are hiring at a record pace, which again I try to make sure people get this. We are incurring expenses without the revenue streams that go with them. And so the idea here is that we build meaningful capacity for future growth. It is how we produced the low to mid double-digit organic balance sheet growth, fee growth and EPS growth. So that's really at the core of what we do and we are having great success on that. We think that we have deployed our shares extremely well in the CapitalMark and Magna acquisitions. The system integrations have been very successful. The brand integrations are complete. The cost synergies will be fully realized in the third quarter and we should begin to harvest revenue synergies which we never include in our merger models in terms of what it takes to produce the accretion. And so again, we are extremely optimistic about beginning to sell our broad product array, particularly focused on wealth management products and the CapitalMark and Magna franchises. We have spent a little time on BHG. Again, just a quick reminder, we are now 49% ownership of the company. We indicated at the time of the 19% increment that we would be at least 2% accretive to 2016. We continue to believe that. And Harold mentioned, I am particularly optimistic about ongoing partnership opportunities that we have with BHG, opportunities for them to distribute a broader product set and produce even greater revenues. And then in the case of Avenue, again, we have been over the financials of that transaction. We were able to complete the merger in July. The technology conversion is slated for really late third quarter of 2016. And so we will begin to realize all our synergies for the year 2017, which we think are handsome. So I guess just trying to put all this in a summary format here, I would say we have truly established a competitive distinction among the bankers in our markets, which is evidenced by our recruiting success. We think we have a competitive distinction among clients which is evidenced by our balance sheet growth. We have consistently produced and expect to continue to produce low to mid double-digit organic asset growth. I mentioned $15 billion asset level that we believe we can produce in our existing markets. In other words, markets that we currently operate in, at the 1.2$ to 1.4% ROA target. You know, I think that target is generally high versus our peers. We consistently performed there in the top end of the range. Similarly for the last 20 three quarters, when you adjust for extraordinary items. We have had double-digit EPS growth and we expect that to continue. And I think importantly at a 15.64% level we continue to produce top quartile ROTCE and that is in a very high performing peer group. I think the last point which I believe is really important here is that we have got an advantage stock, but more than that, it's rationally deployed. We are fundamentally organic growers at heart. That's what we think about. That's what we love to do, but we do have an advantage stock and that puts us in a position to create even more operating leverage and even more EPS growth which we believe we have done with CapitalMark, with Magna, with Avenue and with BHG. I think Harold did a nice job talking about the growth in revenue per share, the growth in EPS per share that we have been able to create via mergers and acquisitions. Even though we are out here aggressively or recklessly deploying our shares, I am confident that we will have a number of other opportunities over time similar to the opportunities that we have had over the last year to create even more shareholder value and turbo charge our growth rate. So in simple terms, that's really how I think, how we think about our organic growth and our growth in EPS and produce some shareholder value over time. Operator, I will stop there and we will be glad to take questions.
Operator: Thank you, Mr. Turner. The floor is now open for your questions following the presentation. [Operator Instructions]. Our first question comes from the line of Stephen Scouten with Sandler O'Neill. Your line is now open.
Stephen Scouten: Hi. Good morning, guys. How are you doing?
Terry Turner: Good. How are you, Stephen?
Stephen Scouten: Doing well. Thanks. I just wanted to follow up with one quick question on the indirect auto subprime portfolio there. It sounds like you wouldn't expect any more elevated charge-offs like we have seen in the last two quarters, but I was kind of that viewpoint last quarter as well. I think Harold, you had mentioned last quarter there was about $1 million in 90-day delinquent loans at the end of the quarter, yet we saw about $4.1 million in charge-offs. So I guess how can we think about future charge-offs from that remaining $43 million and what that might look like in the next couple quarters?
Harold Carpenter: Yes. I think what we are modeling, Stephen, is that the charge-off rate on that book ought to come down maybe as much as half for the rest of the year, maybe 60% of what we have seen here in the first part of the year. We have changed some policies with respect to charge-offs and got more aggressive on some of that paper that we had acquired. And so again, I think we are going to looking at 50% to 60% of what we have seen in the first of the year being charged off in the second half of the year.
Stephen Scouten: Okay. That's helpful. And Terry, I know you said you felt pretty good about getting to that to 2.30% expense to average asset threshold maybe as soon as next quarter. Can you give me a thought on expenses? And what's really going to drive that? Obviously because the Avenue cost saves aren't really going to show up till 4Q. So is that just growing revenues faster than expenses? Or could salaries actually come down since you had the cash bonuses here in the current quarter?
Terry Turner: Yes. To be clear, let me go back on the cash bonuses, just to make sure you get that. That accrual is a function of what our projections are versus targets that are set before the year begins. And so we accrue that incentive over the course of the year in order to be in a position to pay it out in January. And so in the case of the first quarter, our forecast was that we would be below that targets that were set for 100% payout on that plan which might tell you something about the level of those targets. But in the second quarter, we believe that we are in a position to hit the targeted payouts. And so what you have there in the second quarter is not only a 25% increment to the incentive accrual for the quarter, but also the catch-up for the first quarter. And so you got outsized growth there on that expense line item, which would likely more resemble the targeted payout in the third and fourth quarter. So again just trying to get clear with you on how that expense grew works on incentives. I think as it relates to what causes the expense to asset ratio to come back in line, as you know and we have tried hit at all the time, we have a fabulous expense run rate here. As a company, we operate at 2.20% or so, 2.30%, call it 2.35% versus peers. That's a very effective expense ratio, but our focus isn't to manage the expenses, it is to drive the topline which would drive the topline largely through balance sheet growth. And so again, just to try to get into what causes that to come back in line, is primarily the speed of the asset growth and the revenue growth associated with that. And again you might think of it in terms of an efficiency ratio, even though the expense ratio to asset was high, the efficiency ratio continued to decline which again I think is indicative that we have operating leverage and grow the revenues faster than the expenses.
Stephen Scouten: Yes. Absolutely. That makes sense. And maybe one last one for me. One of your industry peers, I guess, had a call just before you, is talking down there growth. You seem to be pretty confident in your release about the rate of growth that you can consistently deliver. Any pushback from regulators, given your CRE exposure and maybe C&D exposure in particular which has been growing over the last few quarters? Any comments or clarity you can give there?
Terry Turner: Well, I might just go at it this way, Stephen. As you know, we are not permitted to talk about whatever conversations we have regulators specifically, but I will just say this. The two principal threshold that people look at are the 100% threshold and the 300% threshold for construction and for total CRE. And as you know, we are inside those parameters today and I think broadly, you should expect that we will continue to operate around those thresholds. I do not want say that there will never be a day when we tick above that. But just fundamentally, we intend to operate near the 100% and 300% guidelines. That said, I think you know this, those are not regulatory caps or guidelines and what regulators expect is if you exceed those guidelines that you have some elevated level of risk management, some elevated level and ability to monitor and stress test cash flows, vacancies and those kinds of things in those books. And I believe that we have elevated risk management procedures that would be satisfactory, were we operate above the 100% to 300% threshold. But again, I think you ought to just expect over time we will operate right there in that range.
Stephen Scouten: Perfect. Thanks for all the color and congrats on another good hiring quarter as well.
Terry Turner: All right. Thanks Stephen.
Operator: And our next question comes from the line of Jennifer Demba with SunTrust. Your line is now open.
Jennifer Demba: Thank you. Good morning. Two questions. On the hiring you did in the second quarter, can you give us a little more detail on how many and what types of hires they were? And then my second question relates to BHG. Just, Terry, wondering if you could elaborate on the growth opportunities you in different product areas that could possibly be pursued in the future.
Terry Turner: Okay. I will comment quickly on the hiring. Jennifer, I don't have a breakdown here in front of me, so I will just give you a broad color without specifics here. We are hiring across all key revenue producers, meaning that in the quarter, the largest concentration of hires would have been financial advisors or maybe the term you would use is relationship managers and within that category, probably concentrated in middle market commercial relationship managers. In addition to that, we continue to hire mortgage originators. We have hired folks in the wealth management lines for trust and brokerage. And so, it's pretty broad-based hiring and we are having success in each of the four markets. But I would say, generally we are having our greatest success in Nashville right now.
Harold Carpenter: Jennifer, I will just follow up with Terry on that. What we talk about are the revenue producers which were the 29 folks. There is probably another 40 or so that are in nonrevenue positions that have also been hired in the first half of the year. So I just want to make sure everybody understands that we try to go in there and just talk about or disclose those guys and those women that are going to be bringing revenues to the firm.
Terry Turner: Jennifer, I hope that gets and you can feel free to follow-up, ask further questions, but that's the color on the hiring success in the second quarter. In the case of ongoing opportunities with BHG and I think you know this, we currently have an arrangement with them where they distribute our credit card as an affinity card to their clientset. I want to say that over the last 12 to 15 months, they have generated something on order of $150 million in commitments and $60 million to $65 million, I think, in outstanding balances. And so that's an example of the kind of thing we are talking about where we can take some product that's useful and helpful to their clientset, push it down through their sales distribution and be the direct beneficiaries which we are in the case of the credit cards or the indirect beneficiaries as we are in the case of the other loans that they generate produce gain on sale and we share in that revenue stream. In terms of the other kinds of things that we talk about, we believe we have opportunities to perhaps distribute insurance products down to the doctors' practices. That again, I am not telling you we are going to do that, I am just trying to give you some sense of the kinds of things that are being talked about and that we are researching. So we believe there might be an opportunity there. And then the thing that's most exciting to me personally is if we can figure out how to distribute operating accounts. In other words, controlled checking accounts, operating accounts to doctors' practices across the 44 state franchise. That would be a powerful thing as well. So we are having dialogue about that kind of thing too. So again, Jennifer, I want to be clear. We are not trying to oversell the future capabilities. I love what we have. If it continues like this, it will be a fabulous investment but I do get excited about the incremental opportunities that we hopefully can produce.
Jennifer Demba: Thanks very much.
Operator: And our next question comes from the line of Tyler Stafford with Stephens Inc. Your line is now open.
Tyler Stafford: Hi. Good morning guys.
Terry Turner: Hi Tyler.
Tyler Stafford: I wanted to start on BHG coming at it from a credit perspective. Harold, I know in the past, you have talked about these loan being nonrecourse, but can you talk about the put back risks to BHG from the purchasing banks and walk through any kind of hurdles that have to be met in order for them to put those loans back to BHG?
Harold Carpenter: Sure. Well, first and foremost, management of BHG and the Board of BHG has to approve any kind of substitution that may go on there, but basically let me to just start at the top, the documents are real clear. BHG sells those loans without recourse. But what they do in order to create a good business with the funding side of these community bank network is they will substitute a loan for a loan that may look to be deteriorating in credit quality. And BHG has certain processes and procedures they follow with respect to that. And if the community bank follows those procedures then BHG, if they believe that community bank is in good stead with BHG, they will go through the substitution process. I think in May or June, I can't remember the month, there was about $1 million in substitution. I think in one month, there was maybe $600,000 that I saw. But all of those have to be approved by the Board. And again the bank that is asking for the substitution has to follow procedures with respect to is it within five days or be it 90-days past due and all those sort of thing. So BHG does that only because they want to keep that community bank funding network active. So I don't know if that gets at it, Tyler, but yes.
Tyler Stafford: Yes. No, that's helpful. What are the typical reserves that BHG has on those credits and remind us what the loss rates were prior cycle?
Harold Carpenter: Well I will just say this, thus far this year, they are running at about 2% loss rate. They keep about 3% in reserves, while there is a 3% cash reserve that they maintain for every loan that's sold to a community bank and then there is another allowance for loan loss reserve they keep on their own balance sheet to cover any losses as a result of the substitution process. They also have other products with various banks where they share the credit risk on some, but that's probably about 5% to 10% of their business volume. So it's not a big component.
Tyler Stafford: Got it. Okay. And then maybe just for BHG for the quarter. Do you have what those origination were and any material change in their gain on sale margins?
Harold Carpenter: I know the spread is still running about 8% to 10% of the business flows and I have got it somewhere, Tyler. I will get it to you. But last year they did $450 million some-odd in originated credit. If they hit their numbers this year, they will see a nice little increase in that number. So, so far so good this year. It looks to be they will outpace last year.
Tyler Stafford: Okay. And then last one from me, just on the margin. Can you hit the accretion impacts this quarter and last quarter? And then just high level, are you still thinking two to five bips margin dilution from Avenue next quarter? And I will hop out. Thanks.
Harold Carpenter: Yes. I think for Avenue, it is probably going to be that. We don't have all the purchase accounting issues wrapped up on Avenue yet. So we still think there is going to be two to five basis point dilution to the margin. First quarter, we had 20 basis points or so in purchase accounting accretion on the margin. Same thing in the second quarter. So with CapitalMark and Magna's numbers coming down, those numbers will come down too. We have still got, I think about $18 million worth of purchase discounts with respect to Magna and CapitalMark, of which about $15 million of that is accretable into the yield. So there is still quite a bit left to go with respect to CapitalMark and Magna. We think Avenue is going to end up being $10 million to $12 million in purchase accounting adjustments as well.
Tyler Stafford: Maybe one more then. Do you have how much you have recognized so far from CapitalMark and Magna?
Harold Carpenter: It's been about $10 million.
Tyler Stafford: Okay. Great. Thanks guys. Very helpful.
Terry Turner: All right.
Operator: And our next question comes from the line of Jefferson Harralson with KBW. Your line is now open.
Jefferson Harralson: Hi guys. Thanks. I will ask a bit of the issue on as well. We saw a lot of buildup throughout the year of seasonality in BHG, but we had such a big increase 1Q to 2Q this year. Should we see a similar seasonal increase as we go throughout the year? Should we expect those originations and sales to increase throughout the year?
Harold Carpenter: Yes. We are not expecting them to throw a third quarter at us at the same growth rate 2Q over 1Q. I think they are going to be pretty steady here out for the rest of the year. We think they will outgrow us in 2016 compared to 2015. I think their pipelines look good. I think they have hired some people on the front line. So it's going to be a good year for BHG.
Jefferson Harralson: Okay. So I hear from that maybe higher, but the same growth rate, most likely.
Harold Carpenter: No. You won't see the same growth rate between 2Q and 1Q.
Jefferson Harralson: Great. Okay. All right. Thanks a lot.
Operator: And I am showing no further questions at this time. Thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone have a great day.
Terry Turner: Hold on.
Operator: I am sorry. I do see another question in queue. We now have Tyler Agee with Hilliard Lyons. Your line is now open.
Tyler Agee: Hi. Good morning, guys.
Terry Turner: Hi Tyler.
Tyler Agee: Sorry about getting there at the end. I just had some question on the linked quarter decline in securities yield and given the flattening of the yield curve, what are your thoughts regarding purchase of securities?
Harold Carpenter: Yes. We are only going to maintain that bond book, Tyler, just to kind of keep up with collateral for public fund deposits. You should not expect us to grow our bond book at all.
Tyler Agee: Okay.
Harold Carpenter: We will have some incremental impact because of Avenue. They will come on, those bonds will come on ours, but I think we are in the process today of doing several transactions to restructure and get their bonds or the portfolio look a lot like ours today. So there's some things we can do to enhance yields from that.
Tyler Agee: Okay. All right. That's all I had.
Operator: And our next question comes from the line of Brian Martin with FIG Partners. Your line is now open.
Brian Martin: Hi guys.
Terry Turner: Hi Brian.
Brian Martin: Just one follow-up, Harold and then a separate question. Just on the accretion income this quarter, just the dollar amount of the accretion income, I think last quarter you had said it was about to $2.5 million, this quarter was at a similar amount or just could you quantify that amount? I kind of missed that.
Harold Carpenter: This quarter, it was about $4 million.
Brian Martin: Okay. So this quarter it was $4 million. Okay. And then just the other fees in the quarter, when you look at the fee income in total and you just drill down to the other line item, the catchall, that was pretty significant on a linked quarter basis. So just could you guys cover what was in there? Was there anything unusual? Is it pretty sustainable? I know you talked about the swap fees, but just the other line item in particular.
Harold Carpenter: I think there is about $1 million in there that's kind of, you might call it in a recurring nonrecurring bucket. So a couple of transactions hit in there that were helpful.
Brian Martin: Okay. And then just maybe the last thing was just maybe, if Terry can just give a little color about just kind of the Nashville market in general as far as the commercial real estate, just the kind of the temperature that market? Is it getting overheated? Is it still at a pretty nice level? Or just any commentary just in general about the Nashville market would be helpful.
Terry Turner: Yes. I don't think there is any doubt that Nashville has been a hot market for some period of time and there continues to be a lot going on in the market. I think if you sort of begin to break down categories and think about what drives the growth and so it is credible that it still have legs and for my own judgment would be that the market still a pretty good leg. And here is why, one a broad category of CRE is hospitality. We are adding a lot of hospitality rooms and so you might look at a glance and say, my goodness, they are bringing on a lot of rooms. What we call that is that going to work overtime. The reason for that is or the catalyst that is that we have a new convention center here, which has been extraordinarily successful and frankly has only been limited by the unavailability of hotel rooms and so tourism is running at a record pace here. And so again, obviously for me, hospitality would be an area within commercial real estate that would require the greatest caution any day any time. But again, I am just trying to say that there is a catalyst that underlies that incremental capacity and it seems to make sense. And again I think, folks who have been into this market to specifically evaluate that have generally left with same feeling I am describing. In other words, it's rational expansion. Then we start looking at the other broad categories there. When you are talking about office space or warehouse space, any of those kinds of things, the vacancy rates here in Nashville for office are 5.5% or something like that. So there is room for more there. And so again, you get behind it, so what causes that. What's the growth. Frankly, it's the growth in jobs. And as you know, my own belief and Brian, you and I have talked about this over a long period of time, Tennessee is an migratory of jobs and has been for quite some time. It is that for a number of reasons, but most importantly is the fact there is no state income tax. It's a low business tax state. It's a business friendly state. It's right to work state. All those kinds of things. And so we continue to migrate jobs and even headquarters out of markets like Illinois and California and my belief is that will continue for the foreseeable future and then Middle Tennessee is particularly a beneficiary of that in migration. In another words, we get growth throughout the state of Tennessee. But it is more dramatic here in Middle Tennessee. And so anyway, just sort of a long-winded way to say, yes, we continue to add space at a pretty dramatic pace. But there are underlying reasons for it. In the case hospitality, it's driven by the Music City Center, which is a huge convention center for the extraordinary success. And then in the case of the other income-producing categories, generally it's driven by job growth in the area.
Brian Martin: Okay. I appreciate the color. Thanks, Terry and nice quarter guys.
Terry Turner: All right. Thanks Brian.
Operator: I am showing no further questions at this time. Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day. End of Q&A